Operator: Greetings ladies and gentlemen, and welcome to Lightbridge 2019 Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Waldman, with Crescendo Communications. Thank you, Mr. Waldman. You may begin.
David Waldman: Thank you, Doug. Good afternoon, and welcome to Lightbridge's Second Quarter 2019 business update Conference Call. The company's press release is distributed after the market yesterday and could be viewed on the Investor Relations Page of the Lightbridge website at www.ltbridge.com. If anyone has questions after the call, you may contact Investor Relations at 1 (855) 379-9900. Seth Grae, our Chief Financial Officer, will lead today's call. In addition, the following executives are available to answer your questions: Larry Goldman, Chief Financial Officer; Jim Malone, Senior Vice President and Chief Nuclear Fuel Development Officer; Andrey Mushakov, Executive Vice President for Nuclear Operations; Jim Fornof, Vice President for Government Program Management; and Barbara Kanakry, Controller. Today's presentation includes forward-looking statements about the company's competitive position and product and service offerings. During today's call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectation and involves certain risks and uncertainties that can cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise. You can participate in today's call in two ways. You may submit questions for management in writing to ir@ltbridge.com. If you've already submitted a question, we thank you. You can also submit them at any time during the prepared remarks or during the Q&A period. In addition, after the prepared remarks, telephone lines will be open for live questions. Now here's Lightbridge's CEO, Seth Grae. Please go ahead, Seth.
Seth Grae: Well, thank you, David, and good afternoon, everyone. We are progressing toward major near-term milestones, including production of commercial-length fuel rods with surrogate materials as well as a contract with a major U.S. nuclear utility for Lead test Rod program. We understand that this is taking longer than expected, however, we continue to advance the process and solidify our collaboration goals with the utility. We will provide updates as soon as we are able to do so. We're also evaluating several options for fabrication of the fuel samples for the Lead Test Rod demonstration in a U.S. commercial reactor. I'd like to turn the call over to Andrey Mushakov, Executive VP for Nuclear Operations, who will review the work we're doing on the fabrication of our fuel, specific activities we've recently undertaken at Enfission and the reasons why those activities are important. Andrey?
Andrey Mushakov: Thank you, Seth. We recently completed the following initiatives: First, we completed preliminary uranium-zirconium casting studies to support the fabrication process specifications. This milestone provided an important input with respect to specific parameters to be used during the in-depth casting process. Second, we completed a non-destructive examination strategy for fuel rod inspection quality control. Nondestructive examination of test fabricated fuel rods is a critical quality control process step to ensure that each fuel rod is free of any manufacturing defects before it is loaded into the fuel assembly and shipped to utility customer. Third, we've completed the ANSYS model of fuel rod geometry optimization studies. The ANSYS model can be used to relegate and finalize our fuel rod geometry. Finally, using the ANSYS, we completed parametric neutronics studies to optimize our rod geometry. Looking ahead, we expect to demonstrate full-length extrusion of our metallic rods using surrogate materials this year. This will be a significant fabrication milestone and firming our ability to scale up the fabrication process from a 3-foot rod adapter to 12-foot rod, which is the length of the fuel rods used in the large commercial reactors.  The selected surrogate materials will mimic the flow stresses of uranium–zirconium fuel material in a non-physical oh fuel environment in order to optimize this process prior to introducing the nuclear fuel itself. Similar to our commercial uranium–zirconium fuel rod, the surrogate materials will be enclosed inside a metallurgically bonded zirconium alloy cladding. Fabrication of a fuel-length rod will provide us valuable data about the [indiscernible] process parameters and specifications. Back to you, sir.
Seth Grae: Thanks, Andrey. We continue to see increased governmental support, including from the U.S. Department of Energy, DOE, for Lightbridge Fuel. Our Enfission GENESIS Project recently received via Framatome, our partner in Enfission, it's the first specific funding grant from DOE. Throug a voucher from the Gateway for Accelerated Innovation in Nuclear, known as GAIN program. Although we are disappointed that we were not selected for the most recent Funding Opportunity Announcement or FOA grant by DOE, it is important to note that DOE did not provide any grants for advanced nuclear technology as the department priorities shift each quarter. For this reason, we're not providing specifics on grants we may apply for unless and until such grants are awarded. The grant funding remains something we continue to actively explore. In the meantime, it's also important to note that DOE is doing many great things that will benefit the nuclear power industry. And we believe this proportionately benefit Lightbridge including the following: First, DOE has made the largest test reactor in the United States, the Advanced Test Reactor at Idaho National Lab into a user facility available to industry. Second, DOE has reopened the Transient Test Reactor, known as TREAT, at Idaho National Laboratory, which is unique in the world and can allow Lightbridge to demonstrate how our fuel performed in the worst-case accident scenarios. And third, DOE is making a stockpile, the High-Assay Low Enriched Uranium, known as HALEU, available to advanced nuclear technology company's like Lightbridge and is starting programs to produce new supplies of HALEU for the industry. We're working on other strategic initiatives as well. In May, we announced that we entered into a memorandum of understanding with NuScale Power, which is development in the country's first small modular reactor. We plan to develop research and testing programs in order to explore the application of our nuclear fuel technology, which is well-suited for NuScale’s natural circulation design. Our advanced fuel design is expected to increase core performance, extend core life, reduce the frequency of refueling outages and offer a reduced cost of electricity generated, a per unit of electricity generated or a reduced levelized cost of electricity. We look forward to finalizing a definitive agreement with NuScale Power and contributing to optimizing their advanced nuclear reactor design. In addition, we recently announced that EDF Energy has become the first non-U. S. utility member of the Nuclear Utility Fuel Advisory Board. We're also building awareness and receiving positive feedback for our technology at important nuclear industry demands as well as financial media. In July, I was a guest on Bloomberg Radio twice, discussing nuclear power issues in the news and our advanced metallic nuclear fuel technology. I was also guest on Yahoo Finance live on TV. You can find the interviews on our website at www.ltbridge.com. This past quarter, executives from Lightbridge and other companies in the nuclear power industry participated in governmental and private events on the future of nuclear energy. In June, Jim Fornof, Vice President for Government Program Management attended the Gateway for Accelerated Innovation in Nuclear, or GAIN, a mircoreactor workshop at Idaho National Laboratory. This workshop included discussion of the DOE's gh-Assay Low Enriched Uranium program mentioned earlier. In July, I participated on a panel discussion in Washington D.C. as the New Nuclear Capital summit. We discussed advanced nuclear systems and the innovation in nuclear fuel, automation, advanced manufacturing as well as hybrid systems. We continue to expand our intellectual property portfolio, which is central to our strategy as we advance toward commercialization. In April, we announced that we received a Canadian patent related to four-lobe metallic fuel rod design and related manufacturing method. In June, we received a notice of allowance for a new patent related to our innovative metallic fuel rod and fuel assembly under the Eurasian Patent Convention, which include Russia and other territories across Eurasia. Most recently, Europe and Eurasia awarded us patents for our fuel assembly design, incorporating multi-lobe metallic fuel rods for use and can do heavy water reactors, which follow similar patents that the United States and China awarded to us. In addition to the inherent economic and safety benefits, our fuel enables longer operating cycles, which is key to extending the life of existing plants, both in the United States and internationally. We believe that a strong patent portfolio will help establish and sustain leadership in key global markets. As we mentioned, we are working towards major near-term milestones, including producing full commercial-length rods with real cladding material or with surrogate material instead of uranium as well as working towards signing a contract with a major U.S. nuclear utility for the Lead Test Rod program. Our plan is that the initial Lead Test Rod in a commercial reactor will demonstrate properties relating to the mechanical interface with a standard fuel assembly grid structure and adjacent fuel rods and other important characteristics that the utilities and the U.S. Nuclear Regulatory Commission, the NRC, will need to see. In parallel with this effort, we plan to demonstrate High Assay Low Enriched Uranium in fuel samples in a research reactor. This will be followed by HALEU, Lead Test Rods and finally, lead test assemblies and at least 1 commercial nuclear power plant, while continuing work with High Assay Low Enriched Uranium, or HALEU, in research reactors. We believe a combination of fuel sample testing and research reactors and demonstration of Lead Test Rod operation and commercial reactors will provide the technical and safety data that utilities and the NRC will require to begin operating lead test assemblies with HALEU in commercial reactors. In a similar time frame, we expect to receive approvals for Enfission to produce commercial fuel assemblies in the United States and start selling them to utilities. Now I'll turn the call over to Larry Goldman, our Chief Financial Officer, to go over with you select financial information from the second quarter.
Lawrence Goldman: Thank you, Seth, and good afternoon, everyone. For information regarding our second quarter 2019 financial results, please refer to our updated earnings release that we filed at the close of market yesterday. We will be filing our second quarter Form 10-Q after the close of market today. Our working capital surplus at June 30, 2019 was $21.2 million. We ended this quarter with $21 million in cash and cash equivalents compared to $24.6 million at December 31, 2018, a $3.6 million decrease in cash and cash equivalent. Cash used in our operating activities for the 6 months ended June 30, 2019, was approximately $2.9 million. And cash used in our investing activities including our equity investment in our Enfission JV and our patent filing cost was approximately $3.7 million. This cash outflow was partially offset by net proceeds from the sale of approximately $2.9 million of our common stock for the 6 months ended June 30, 2019. We use cash during the quarter to fund our research and development expenses and general and administrative expenses. Our total R&D spend for the quarter, including our share of the R&D expenses from our Enfission JV, which was recorded under the equity method of accounting, totaled approximately $1.7 million out of our total operating loss reported for the quarter of $3.4 million. The proceeds from the sale of our common stock of $0.9 million for the quarter were raised primarily to pay for our R&D expenses. As Seth mentioned, we're seeing increased interest in our fuel for other types of reactors, in addition to large pressurized water reactors. Opportunities that we are exploring relating to these type of reactors may bring about new opportunities for us, including future government funding support. Our estimated operating budget for the next 12 to 15 months, which includes general and administrative and research and development expenses as well as future budgeted R&D capital expenditures is approximately $18 million. This estimated budget is currently subject to change as we finalize plans around the 2019 and 2020 R&D activities in Enfission with our joint venture partner, Framatome. In support of our long-term business plan and future financing sources, with respect to our fuel development, we plan to create strategic alliances and obtain cost sharing contributions by receiving additional funding from others in order to help fund our future R&D milestones, leading to the commercialization of our fuel. One final note. We have received questions from investors regarding a delisting notice we received from NASDAQ back in May. I'd like to note that we are working closely with NASDAQ and have full confidence that we will maintain our NASDAQ listing. The company values its NASDAQ listing and will do everything possible to maintain this listing, including executing a reverse stock split if necessary. As we have said in the past, we have no desire to do a reverse stock split. And we are hopeful that if we reach certain future milestones, it will be reflected in our future share price, which may enable us to meet the $1 minimum bid requirement for NASDAQ listing. I'll now turn the call over to Barbara Kanakry, our Controller, who will go over some select P&L financial information for the second quarter of 2019. 
Barbara Kanakry: Thank you, Larry. Total research and development expenses, not including R&D expenses from our Enfission joint venture, were $0.5 million for the 3 months ended June 30, 2019 and 2018. Research and development expenses consists primarily of employee compensation and related French benefits and allocable overhead costs related to the research and development of our fuel. General and administrative expenses for the second quarter of 2019 were $1.3 million compared to $1.5 million for the second quarter of 2018. There was a decrease in professional fees of approximately $0.2 million. Other operating expenses were $1.7 million for the second quarter 2019, consisting of the equity and loss from our Enfission joint venture of $2 million, which consisted primarily of research and development expenses, offset by our income from the research and development support we provided to Enfission of $0.3 million. Other operating expenses were $1.6 million for the second quarter of 2018, consisting of the equity and loss from the Enfission joint venture of $1.8 million, which consisted primarily of research and development expenses, offset by our income from the research and development support we provided to Enfission of $0.2 million. Now over to you, Seth.
Seth Grae: Thank you, Barbara. I'd like to open the call to your questions. We will pause while the operator, Doug, reviews the procedure for asking live questions. And then we'll move immediately into questions that have been sent in by e-mail.
Operator: Thank you. [Operator Instructions]
Seth Grae: While we wait for live questions, David Waldman, who is with Crescendo Communications, which handles our Investor Relations, will proceed with questions that we're received by e-mail. David?
David Waldman: Great. Thank you, Seth. First question that we received. There have been recent articles regarding the challenges for nuclear power plants in handling rising intake water temperatures, which can affect power output efficiencies and occasionally force temporary off-lining of nuclear power plants. Then a secondary problem can accrue with the corresponding increase in discharge water temperature, which is also NRC regulated. Is it possible that with the significantly lower operating temperatures of Lightbridge Fuel, there could be a positive reduction in at least the discharge water temperature for nuclear power plants? Or are those thermal processes separate and unrelated?
Seth Grae: Okay. I'll ask Jim Malone to take that one.
James Malone: Yes. This is a very interesting question. It's very topical. It's been In the news quite a bit with the hot weather we've experienced across the country. It is important to note that the water in the question here at increased temperatures is actually water intended to cool the condenser in the power plant. It does not cool the reactor. It cools the condenser system. The heat that goes from the reactors to the water is the same, whether it's from our fuel or with the existing fuel. Our fuel operates at a lower temperature, but the amount of heat arriving in the water is the same because you generated the same or more power. So you have to be careful when you think of that. The question also included a reference to shutting or off-lining power plants to the condenser temperatures. I haven't really experience that. I have experienced several times where a power plant has to back down power, 10%, 20%, even 30% in order to keep the cooling water at a temperature acceptable to the local ecology system. That's what's driving -- the driving force is protecting the marine life and the status of the water supply. Things that can adversely affect the ability to keep it cool would be a reduction in flow. For example, the Tennessee River's use to cool the Watts Bar and Sequoyah plants. And when they have a reduction of flow in the river, it's not unusual for those plants to have to back down power. So it's a challenge every summer. It's not a problem in the cold weather, but when the temperatures get hot, as they have recently across the country, there are challenges to some of the plants to remain at full power. Though they can reduce power but for the duration of the excessive heat period.
Seth Grae: And thanks, Jim. David?
David Waldman: Yes. Our next question is how are we coming on producing a full-length rod? And what is the current time line?
Seth Grae: So as we said a few minutes ago, we're on track to produce a commercial length co-extruded rod using surrogate materials in this calendar year. The necessary tooling has been fabricated. We're currently finalizing the scope of work to include machining, straightening, cleaning, polishing. We expect that this surrogate co-extrusion will generate the manufacturing techniques necessary to produce Lightbridge Fuel rods using uranium–zirconium alloy. And I'll just mention, as you know, with our patents that, we not only invented this fuel, but we've invented the method of producing it too, which this co-extrusion will demonstrate.
David Waldman: Great. Thank you. The next question is how far are we from finalizing the utility contract? And when can we expect an update?
Seth Grae: Jim, if it's okay?
James Malone: Yes. I'll take that one, Seth. We still expect our Lead Test Rod contract with the U.S. utility to be finalized later this year. At this time, I cannot provide any additional details about our ongoing discussions with the utility due to nondisclosure obligations that we are bound by. We will provide further updates as soon as we can.
Seth Grae: Okay.
David Waldman: And our next question -- oh I'm sorry…
Seth Grae: I wanted to ask, do you want to see if any live questions at this time or?
David Waldman: Certainly. Doug, we can take the next - if we could take a live caller, please?
Operator: Certainly. Our first live caller comes from the line of John Mackey, a private investor. Please proceed with your question.
Unidentified Analyst: Hello. Thanks for taking my call. You stated you continued to advanced some process and solidify collaboration goals in reference with your GAIN Voucher Award, which is a fine achievement. However, your testing plants and government and commercial sites will move back to 2021, 2022, and the contracts taking longer than expected. What are the reasons for these delays? Might they be related to why the DOE had scribbled with your time line and rejected your second application after the GAIN Award. And I mean, I don't want to put your defense, but how am I to reconcile these advancements with delays unless you provide more details. See, my intention is not to quibble, but surely a person of your creative talents can work around the kind of confidentiality clauses and give us details to ease worries that you're facing insurmountable obstacles to produce and commercialize your fuel.
Seth Grae: Well, thank you for the question. As we've said in our filings and in this call and in previous calls, the original testing program had included a series of, let's call, loop experiments and research reactors that closed. So we had planned to conduct testing at the nNational Research Universal reactor in and Canada, and the government of Canada decided to close the reactor. We had decided to do some of the testing at the MIR reactor at Dimitrovgrad at the RIAR Institute in Russia. And due to political reasons and export licensing, we were unable to do that along with all other American companies. We have planned to do the testing in the Halden reactor in Norway, and the government of Norway decided to close the reactors. None of these decisions had anything to do with Lightbridge or Lightbridge Fuel at all. In the meantime, we did make tremendous progress with the program. And as we've described, we're going forward with our testing program, which will provide the data we believe the NRC and the utilities need to license it for lean test assemblies in commercial reactors and then batch reloads of commercial production in sale of the fuel. So basically, it's a combination of research reactors. And as we mentioned, the advanced test reactor at Idaho National Laboratory has now been made available by the U.S. government for industry use, which is an excellent step by the government and is also the HFIR reactor, the High Flux reactor at Oak Ridge National Laboratory, which is available for our program. And this is in combination with a Lead Test Rod program in a commercial utility. And that's the step that really replaces what we're going to be the so called loop experiments in Norway or Russia or Canada. So we had a regroup, like the whole industry did. We were first to solve this on how to deal with the closure of all these reactors by getting utilities. And one in particular that's first to say you could do a Lead Test Rod program in our commercial plant powering a city combined with the testing we'll do in research reactors. And you mentioned the Gain Voucher, which is very good because while it's not a whole lot of money, that's about $477,000 for the program at Idaho National Lab, it's the first approval by the DOE, by the U.S. government of it. And that first step with the government is, I think, always the most important. So more to come, but we're very much on track now, and we expect to announce that Lead Test Rod agreement with the utility and research reactor testings, particularly at U.S. National Laboratories. So Doug, next question by phone, please?
Operator: Certainly, Our next question comes from the line of Peter Rageer with Dawsons [ph]
Unidentified Analyst: How are you Seth?
Seth Grae: Hello, Peter.
Unidentified Analyst: Everybody is probably a little frustrated because everything gets delayed and delayed and delayed. But I mean, if this year, if you go on to U.S. utility, 1 of the 4 utilities, whoever they are, and if that happens, what type of money will you in? I know it's hard to tell anybody that. But I mean I'm just trying to get an idea if this is going to get pushed in the next year. We're going do something this year because you got the listing problems coming up pretty quickly. And I don't want to see reverse stock split.
Seth Grae: Yes. Neither do we. And we don't expect to.
Unidentified Analyst: So what about... 
Seth Grae: Go ahead.
Unidentified Analyst: Yes. No. So what about any type of coverage? Because I know staples [ph] got your ATM right now. What would it take for someone to put coverage on you guys? 
Seth Grae: Okay. Well, thanks, for your questions. All I'll say in coverage is that Lightbridge, like the investment banks, like the one you're with, it doesn't do pay-for-play. We don't have bills on anyone we deal with. We never have to do a coverage or that coverage won't really be independent. The research would not be something people could really rely on. So we do have some analysts, including some, I think, are on this call or online listening or will listen to the recording later who are paying attention to us, who are following us to an extent who have not initiated coverage. Some of their analysts who cover utilities or other companies that we're working with or may work with soon. And -- so I would think that once we have a customer contract with a utility, once we have the contract demonstrating that we'll get the High Assay Low Enriched Uranium into a research reactor and get that data, and in the very near-term, demonstrate full commercial-length production using surrogate materials of our fuel rods, so those will be very good milestones that I think will help trigger coverage. But that will be independently decided by those research analysts and their employers, obviously. And Doug, next question? 
Operator: Certainly. Our next question comes from the line of Aref Adibi with Adibi Realty. Please proceed with your question. Your line is live. Do you have us on mute?
Aref Adibi: Excuse me, sorry about that. So I just wanted to ask a question really quickly. I'm glad to hear that rods are going to be extruded to full-length this year. Will there be an opportunity to be view the rods in person at the Richland site. And also, the DOE recently announced plants to build a versatile test reactor. Does Lightbridge have any need for a VTR?
Seth Grae: Yes. Those are good questions. And basically, we expect to make video available of the fuel rods that are produced using the surrogate materials and the -- with the real cladding material. We do expect to allow people to access and see these rods. We just can't say when yet. But we definitely do expect to do that and to the extent we can open the sites to the public, to those who are interested in seeing what we are doing as we can. Some of these are sites we don't control, but to the extent that we can, we will. For the versatile test reactor, I'll say I'm glad to see the U.S. government plans to go ahead and build that fast neutron test reactor. I think that's very good for advanced nuclear technology in the United States. I think we will have our testing well underway and most likely completed before that reactor opens. And Jim, if you want to say anything further on that? 
James Malone: Yes. I agree with you. The -- it's a nice concept. The industry has supported it. It is a fast neutron source, which hopes to get changes and features like thermal conductivity versus burnup quicker than we are currently able to. However, you're right to caution that it's not going to be -- it's likely not going to be up and running before we have largely completed our program.
Seth Grae: Yes. Yes. And Doug, any more live questions?
Operator: There are no other live questions in the queue at this time.
Seth Grae: Great. So David, any more by e-mail?
David Waldman: We do. So our next question it seems like private investment in advanced nuclear has been heating up. Can you comment on what you're seeing in the market?
Seth Grae: I can only give you my own impressions. I'd say that the current large-scale nuclear power industries of large nuclear power plants has been guiding successfully to stay level at just about 20% of electricity generation in the United States even as reactors have closed, as we've gone from about 120 reactors to 98. And they've done that very well by everywhere outside the core they can, squeezing efficiencies out of the plants and increasing the capacity factor, the percentage of the time that the plant is operating at full power, now over 92%, I believe, across the United States, which ins funny. It used to be on the 70s not all that long ago. But they really tapped out of what they can do to do that, and that's where advanced technologies, what we're doing in the core of the reactor actually changed the fuel to get a material power operate longer fuel cycles can come in. And I'll say generally from an investor standpoint, what we're seeing in the advanced nuclear technology space is that we're really unique in terms of a truly advanced technology for the existing reactors as well as for the light water, small modular reactors and the -- for the new light water reactors that would be built, large ones around the world. The other advance technology companies tend to be new types of reactors. And some are called what's called generation four or different types of advanced, new kinds of reactors. And the profiles of the investors in those range from billionaires like Bill Gates and other very high net worth individuals to some institutions including hedge funds and private equity firms. But I think what they all have in common is they're leveraging their investment with U.S. Department of Energy funding. And in R&D, the DOE will put in 80% of the funding to 20% from the private company down to 50/50. So the investors, in a sense, are only putting in 20% to 50% of the R&D funding, and DOE is putting in somewhere between 80 to 50%. And with that leverage on the investment, it's almost like having a debt equity ratio where you don't have debt. You have government grants instead. The equity is coming from those kinds of investors into advanced nuclear companies. And when I look at a lot of these companies, they've received 9 figure or more sums from DOE. And for some, you could add at least another digit to that, and especially for what's coming and it looks it's coming down the line. And when I look at Lightbridge compared to where they were when they started being able to that, I think we're not quite there yet. But boy, are we close, and getting really close to crossing that line; about to have contract with a customer for the first time, with a utility; about to prototype, demonstrate commercial size scale of the product; about to have contracts to demonstration with the full uranium enriched only used in a research reactor, the kind of material we have used. And as I said earlier, that first DOE approval of the project tends to always be the hardest, no guarantee of what will follow. But certainly, there has to be a first in order to then have more. And this Gain Voucher, I think, is a very good sign. So I think with the kind of milestones we expect to be reaching very soon, we're going to be in a position like a lot of those advanced reactor companies were when they started to able to attract that kind of investment, matched with that kind of DOE support. So that's certainly what we like to see and what we've been working hard to position our company to be. And we know people of these other companies in DOE very well. We're not just speculating on what they have done, what DOE wants and what we need to do.
David Waldman: Great. Thank you. Our next question is will Lightbridge be participating in accelerated mini-fuel testing at the national labs.
Seth Grae: This is a very interesting thing. It's been in the news recently. I'll ask Jim Malone to give the -- yes, the more detailed answer. But I had never seen anything like this before. This is new. I'm used to seeing the scale of what Lightbridge wants to do including very long fuel rods and these big assembles. And there are these pictures now of what the DOE is allowing people to do, showing these samples next to $0.01 where you could barely see the sample against the edge of the $0.01. They're so small. But there are properties you can guess by getting into the reactors. And so it's not anything we had on our radar screen originally, but we're certainly looking at now. And Jim, would you like to take a stab at this one?
James Fornof: Sure. Lightbridge's fuel test program involves several irradiation tests. We are pursuing multiple approaches to accelerate the fuel development program, including those approaches developed by national laboratories to reduce the time for radiation of samples. And many fuel approach using the high flux isotope reactor at the Oakbridge National Laboratory is one of the approaches under consideration. We have had from preliminary discussions with Oak Ridge regarding the advantages and constraints of the mini-fuel approach, but we haven't committed to the a mini-fuel test at this time. We are also in discussions with the Idaho National Laboratory regarding using INL's Fission Accelerated Steady-state Testing methodology in the advanced test reactor at Idaho Falls. This approach may provide opportunities to accelerate our fuel development and testing program.
Seth Grae: Any further questions, David?
David Waldman: Yes. In -- our next question, in May, Lightbridge attended a micro reactor workshop at INL where the HALEU supply chain was discussed. Did this meeting help Lightbridge solidify their time line for acquiring and testing their fuel with HALEU?
Seth Grae: Well, Jim Fornof attended that for Lightbridge. And he's sitting right next to me. So Jim, would like to take that question?
James Fornof: Certainly, Seth. As mentioned in the prepared comments, Lightbridge did attend both the microreactor workshop as far well as the presentation regarding the plant solicitation for access to HALEU material. And it was at INL in June 18 to 19. Additionally, Lightbridge participated in the HALEU industry day at the Nuclear Energy Institute headquarters in Washington D.C. just yesterday on August 7. Both of the events allowed us to gain a better understanding of the quantities and quality of the material being made available by INL as well as to the contractual requirements associated with the program. And Lightbridge will continue to work with our joint venture partner Framatome and other potential collaborators to assess the feasibility of using the INL HALEU in our development programs.
Seth Grae: Okay. Thanks. David?
David Waldman: Yes. We have another question. After the computer analysis, PIRT, included in the voucher, will reactor test occur at Idaho National lab?
Seth Grae: Jim?
James Malone: Yes. I'll take that one again. Just to clarify, the subject of the recent GAIN Voucher is not a computer analysis, rather the PIRT, phenomena identification and ranking technique is a method of gathering information from a group of subject matter experts, and in this case, on a potential failure modes and the consequences of those failures. So the PIRT exercise is not a requirement for irradiation testing. However, it may be completed prior to start of the actual testing. So to the extent feasible, the results of the PIRT will be used to inform the ongoing fuel development program and reactor experiment designs. These experiments may be conducted at Idaho, at Oak Ridge, as Jim just discussed, or the other test reactors as they may become available to us on a commercial basis.
Seth Grae: David, any other questions by e-mail?
David Waldman: We have one final question. Will Lightbridge still be the first company to use HALEU?
Seth Grae: Well, the short answer is, yes. So let me just clarify that though, which is that it's the customers of Enfission that, in effect, will use HALEU on the fuel in their reactors. We don't have reactors to put it into. We will be using it provided by the government in our testing program, starting in the research reactors, and then lead test assemblies and commercial reactors. And HALEU, High Assay Low Enriched Uranium, is generally defined as any uranium enriched above 5% to less than 20%. So 5.01% technically could be HALEU. And there are some variance on the current kinds of uranium dioxide fuel used in reactors to go a little bit over 5%. And there's some accident tolerant and fuels being tested using, maybe 6%. Maybe it will get a little bit above that. But if you're talking about getting up into the really higher ranges of it, up towards 20% to get the power out of it, to the longer fuel cycles, to get the benefits that our fuel brings, we're really the only game in town. And we expect that the testing program we're heading into will show this. So any other questions by e-mail, David?
David Waldman: That concludes.
Seth Grae: So Doug, any other live questions?
Operator: There are no other live questions in the queue at this time.
Seth Grae: All right. Well, thank you, David, and thank you, Doug. Thanks, everybody. We'd like to especially thank all of our investors. We look forward to providing additional updates in the near future. In the meantime, our lines are always open at ir@ltbridge.com or by calling 1 (855) 379-9900. Thank you very much, and goodbye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.